Operator: Please stand by. Good morning. My name is Justin and I will be your conference operator today. At this time, I'd like to welcome everyone to the i-80 Gold Corp. Second quarter 2022 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Downie, you may begin your conference.
Ewan Downie: Thank you. And thank you for everyone for attending today's presentation. i-80 Gold Corp. is one of the industry's newest gold producers. We are a company that produces entirely from the United States in Nevada and our company is traded both on the TSX under the symbol IAU and the New York Stock Exchange under the symbol IAUX. On Slide 2 of the presentation, I will introduce the participants today. There's myself, I'm the CEO of the company, Ryan Snow, our CFO; and Matt Gollat, Executive Vice President and Matt Gili is unable to attend today's presentation. Slide 3 is the standard disclaimer statement that talks about potential forward-looking statements that may be made here are forward-looking information. And I urge everybody to read this slide before when you look at our presentation. I will pass on the presentation for the next few slides to our company's Chief Financial Officer, Ryan Snow.
Ryan Snow: Thanks, Ewan, and good morning to those listening today. Yesterday, the company reported our financial statements and MD&A for the second quarter of 2022, and they can be found on SEDAR, EDGAR and the company's website. On Slide 4, the highlights for the second quarter of 2022 included commencing trading on the New York Stock Exchange on May 19 under the symbol IAUX. Gold sales of $3,507 ounces from leaching activities at Ruby Hill and Lone Tree. This was a 42% increase from Q1 and I think we will see a similar increase for Q3 from Q2. These gold ounces were produced at an all-in sustaining cost of $1,356 per ounce sold. Completion of the previously announced funding package for $75 million with Orion Mine Finance. Ending cash balance for the quarter of $101 million, in addition to $30.8 million in restricted cash. We also continue to advance our exploration programs at Granite Creek and Ruby Hill with 25,870 feet of core drilled at Granite Creek and 21,596 feet of core drilled at Ruby Hill. The company continued the engineering study on the autoclave refurbishment on plan and acquired key water rights for the development of the co-project. On Slide 5 of the presentation. Our second quarter highlights include revenue of $6.4 million, bringing year-to-date revenue to $9.2 million. This generated mine operating income of $1.8 million for the quarter and $2.9 million year-to-date. Earnings for the quarter were $19.3 million or $0.08 per share, which represents the impact of mark-to-market gains on the company's convertible debt, outstanding warrants, gold prepay, and silver purchase and sale agreement. When adjusted for these gains, the company was in a loss position for the quarter of $21.5 million or $0.09 per share. For the year, the company is in a loss position of $4 million or $0.02 per share. And when adjusted for the previously mentioned items was an adjusted loss position for the year of $34.7 million or $0.14 per share. Finally, the company recorded $12.1 million in exploration evaluation and pre-development expenditures for the quarter, bringing the year-to-date investment to $21.4 million. Moving to Slide 6. The company's production highlights for the quarter include the production and sale of $3,507 ounces of gold at a cash cost per ounce of $1,122 and an all-in sustaining cost of $1,356. Our average realized price per gold ounce sold in the quarter was $1,843. Year-to-date production highlights included 4,996 gold ounces produced and sold at a cash cost of $1,093 and an all-in sustaining cost of $1,326 per gold ounce sold. On Slide 7. The highlights of the company's liquidity position showed that we ended the quarter with $101 million in cash and had an inventory balance of $30.3 million. Current assets were $143.7 million, while accounts payable and accrued liabilities were $9.5 million and total current liabilities were $47 million. This resulted in a current ratio for the company of 3:1. I also want to highlight that the company has $30.8 million in restricted cash and ended the quarter with total net assets of $407.6 million. With that, I'd like to turn the call back over to Ewan Downie.
Ewan Downie: Thank you, Ryan. Just talk about some of the highlights that we've had here in the first half of 2022. On the exploration side, we have had outstanding success at Granite Creek. We continue to expand both the Ogee zone and more importantly, the new South Pacific horizon, where we've had numerous high grade intercepts in excessive 10 grams per ton. We're also having initial results are now starting to be released from Ruby Hill where we have a major drilling campaign going on and we've intersected some of the widest and highest grade mineralization we've seen in our company's history to-date. We've also commenced exploration so more generative exploration at the Ruby Hill property. And we're quite excited by some of the results that are coming out of that program. In terms of corporate development during the first half of this year, we were listed on the New York Stock Exchange, which was a real bucket list item for some of us in the company. We completed our first gold sale in company history. We increased our Granite Creek land package with a transaction with Nevada Gold Mines that extends our land position, approximately 1 mile or 1.6 kilometers to the north towards Nevada Gold Mines, Turquoise Ridge operation. We commenced the development of our exploration decline at McCoy-Cove. And to-date we've completed approximately 1,200 feet of advance. Drilling is on track to commence in late Q3 or early Q4. We acquired key water rights that will allow us to advance the Cove Project to eventually what we expect to be full production. And we completed the silver stream and gold prepay portion of the $135 million financing packages that we completed with Orion and Sprott. Going to Slide 9, we're going to talk a bit about some of the attributes of our company that I think all investors should look at. We operate entirely in Nevada, one of the lowest risk jurisdictions, anywhere in the world. We have significant permanent infrastructure, including an autoclave, flotation, heap leach and tailings facilities at Lone Tree and a CIO plant in heap leach at Ruby Hill. We have a pure best growth profile over the next five years. We have a plan to increase our production, which is pretty moderate at present to over 400,000 ounces a year. We have four new deposits planned for development in the next three years. And Granite Creek mine is currently being developed and bulk sampling is underway and the Cove mine decline is being – has been started. So two of the four are now being advanced to what we expect will ultimately be commercial production. Our company has some of the most significant gold and silver resources in all of the United States. With over 6.4 million ounces measured, indicated gold, and over 104 million ounces measured and indicated ounces of silver. In addition, we have over 8.1 million ounces of gold resources, and over 76 million in silver. Our goal is to become a low cost producer with all-in sustaining costs of less than $1000 ounce. Our two completed preliminary economic assessments both demonstrate that is in the future for our company. On Slide 10. This slide really highlights who our company is. We operate in the world's most productive gold district. So the Carlin and Battle Mountain trends collectively is the most productive gold district with Nevada Gold Mines being the largest player in the area. Next to Nevada Gold Mines, we're the largest holder of gold resources in central Nevada. And we're targeting to become the second largest producer in the state. We're planning on building four operations, feeding a central processing facility. That's our Lone Tree facility that includes an auto play. Our company is one of only three companies with that capability. All projects are road accessible. We have grid power at every site and substantially all of the water rights that are required to advance these projects to full production. The Lone Tree facility, as you can see here on Slide 10 sits right on Interstate 80, which is where our name came from. Slide 11 shows the processing plants that can produce – that can process refractory or in Nevada. In fact, there's only five facilities in Nevada, and I believe in all of the United States with the capability of processing refractory or – and this really provides our company a competitive advantage. First, majestic Nevada Gold Mines and IV gold are the only three companies that have this capability. And what we've been seeing over the last couple of decades in Nevada is that a lot of the earlier large oxide deposits are transitioning to sulfide or refractory ore, and having a processing facility is key to long-term success in the state. So I believe that's something that really makes our company stand out. In addition, on Slide 12, we are currently the third largest holder of gold and silver resources in the state of Nevada. We expect substantial growth this year, as we've got over 50,000 meters of drilling underway at Granite Creek and Ruby Hill. And these programs are yielding substantial success. We are currently working to upgrade Blackjack, which is a polymetallic deposit at Ruby Hill and second chance and Lynn, these are oxide deposits at Buffalo Mountain rate beside Lone Tree to resource status. And as you can see here, we are already one of the largest holders of silver resources in addition to gold in the state of Nevada. Slide 13, one thing that I really – I believe really separates our company from other companies in Nevada. In fact, almost anywhere in North America is the grade of our projects, both our open pit and underground grades rank amongst the highest that you'll find in any deposits across North America. And we are very advanced in terms of permitting that will allow for the development of these projects. Both Granite Creek and Cove have grains in excessive 10 grands per ton. On Slide 14 is really the hub and spoke model that our company is working towards. So we are looking to later this quarter early in Q4 release, a study related to the restart of the Lone Tree complex. Lone Tree is expected to be our central processing facility that will process refractory mineralization from Granite Creek, Ruby Hill and Cove, and will be the heap leach operation for Buffalo Mountain. Slide 15, we will move on to our various sites, as you can see on Slide 15, the introduction slide for Lone Tree. This is a very large processing facility. Not only does it have the autoclave component that has the capability of processing approximately 1 million tons of material a year. We also have a flotation circuit that is currently not in our near-term development plans but could work into our longer term future that has capability of processing, approximately 1.8 million tons and immediately adjacent to this site is the heap leach facility and the residual leaching as some of the gold production that we're seeing coming from the company. As you can see, all of the infrastructure here is in place, power lines, the grids, the road, everything is here. And our restart will really involve a lot of re-engineering as we look to restart this facility and adding components is needed to meet newer regulations. Slide 13 really introduces what we do here. The Lone Tree facility is really the hub of our operations with the central processing autoclave facility, the operating heap leach. We have our own operational laboratory. We are also doing some third-party sampling out of this facility right now. We have a climate controlled warehouse. All of our core cutting and logging gets completed here before our samples either being processed our own lab or being shipped out to a third-party lab. We have full maintenance shops and office complex. And in addition to this autoclave, as I mentioned, we have the flotation circuit that we will certainly be looking to utilize in the future as we continue to grow our production. Granite Creek in Slide 17 is the most advanced of our projects. It was acquired from Waterton and at the time, we acquired it, it was under care and maintenance. So we've taken over that site. We're adding several levels to the operation as we speak. And we're looking to continue to drive the decline to depth in order to access the South Pacific zone. We have both open pit and underground mineralization here at Granite Creek. Most aggressively we're pursuing the higher grade underground material. You can see in the image here on Slide 17, the two portals at the bottom of the old CX-Pit. And just on the upper side of the pit, you can see the drill rig and that's a drill rig that is pursuing the extension of the deposit to the north, the South Pacific zone. On Slide 18 just gives some of our key achievements in Q2. We move to full operations underground 24/7 at site, we're advancing the decline to access the lower ore zones, putting in several levels, setting up the operations so that by the end of 2023, we expect to be at a full run rate of approximately 1,000 tons a year. We shift our first delivery of material to Nevada Gold Mines, and that's part of our bulk sample program, where we deliver an initial 10,000 tons of material that will be used in a blending program by Nevada Gold Mines prior to our starting to ship on a day-to-day basis. Once the day-to-day basis mineralization and the acceptance of our ores in place, we will then plan to make a formal production decision for the project. We advanced our mine power and ventilation and we're working towards additional dewatering. So we can pursue the deposit to depth. Granite Creek on Slide 19 is situated immediately South of Nevada Gold Mines large Turquoise Ridge operation, and the Twin Creeks Mine. Twin Creeks is the site of Nevada Gold Mines autoclave here in the Getchell portion of the Battle Mountain trend. And it is where we have an interim processing agreement that will allow us to process or in advance of the restart of the Lone Tree facility. One of the most important or exciting developments from this project since we acquired it was the discovery of the South Pacific zone. We believe that this is going to be a very significant portion of our future at this project. We are significantly increasing our high grade resources as we move to the north. And these are in very close proximity to the existing mine workings, which will allow us to fast track development to pursue underground drilling of this deposit as early as the first half of next year. We acquired key lands, both north and south of Granite Creek along the Getchell/Range Front fault structure on-strike of the South Pacific Zone with the most significant portion towards Turquoise Ridge. Those properties were acquired from Nevada Gold Mines. On Slide 20, we do have both underground and open pit resources. The underground resources are in expect of 10 grams per ton. We’re expecting late this year or early next year to release revised resources for all of our projects. And that will include a revised resource for the underground portion of the Granite Creek project. We also have a very high-grade heap leach project that we’re planning, and it will be part of our future as we advance permitting over the next couple of years. And then look to move towards development with a grade in excess of 1 gram per ton. This heap leach opportunity represents one of the highest grade heap leach project opportunities in Nevada. Slide 21 shows where we are related to the infrastructure with the South Pacific Zone. The South Pacific Zone is the discovery of what looks to be very continuous mineralization along a fault structure running north of the Ogee and ADAM PEAK zones, which are the primary areas of the underground workings at Granite Creek. To date, we have extended this zone over a strike length of – it’s actually more than 750 meters and a dip length of more than 300 meters now and it is open. This deposit remains wide open for expansion along strike and that depth, and we continue to drill it out, expecting many significant or many press releases still this year, as we continue to expand this horizon. Slide 22 is a long section view of the Granite Creek project. In the upper portion, you can see the existing underground workings where we have been driving to depth. Our target is to get down to below where it says Ogee Zone in this image later this year that will put several levels on the main Ogee Zone mine working so that we can move to full production once we complete our bulk sample and milling test with Nevada Gold Mines. And by the end of this year, we expect to start driving a drift over towards the South Pacific Zone to the north. The South Pacific Zone, again is wide open at depth of the holes released to date. One of our deepest holes that the IGS22-05 intersected 16.3 grams over 15 meters, and the deposit is open below that. And we are drilling along strike right now, and that depth in that area to expand mineralization. On Slide 23 is a cross section view from a 3D model view of the Otto and Adam Peak and Range Front zones, which are to the left or to the west in our mine workings up against the Range Front fault. And the Ogee Zone is more of a vertical structure coming to depth. Our deepest hole that drilled the Ogee Zone that depth intersected 7.4 grams over 73.2 meters with three high-grade zones within that grading over 10 grams per ton, additional drilling is being completed from both surface and underground in this area. As we look to add ounces into deeper portion of the existing mine zones, in addition to South Pacific this year. Ruby Hill is the underground operation that we are advancing, and it is the largest gold deposit in our company’s portfolio. We actually expect that the Ruby Hill project has the potential to become our company’s flagship assets. We’ve had substantial success and exploration both expanding the known deposits, which are Ruby Deeps and the 426 Zone. We’ve released several holes from Ruby Deeps that have been some of the best intercepts in our company’s history. And we’re expecting in the next couple of weeks to start releasing results from the 426, which is the upper zone at Ruby Deeps. We’ve also been advancing generative exploration targets because we have a large, highly prospective land package here. And we have now tested five of these generative exploration targets, and we’re quite excited by the results we’re seeing in terms of alteration and mineralization visually. Slide 25, we’ll look at the key achievements for this site in the quarter. We are systematically re-leaching multiple areas of the heap, including mineralization that was loaded onto this heap leach by Waterton in the months in advanced to us acquiring the project. And we completed the mining of the bottom portion of the pit and loaded that. And we’re just starting to see substantial gold being coming out of that. We shipped over 4,500 ounces of gold in the quarter on loaded carbon. As you saw earlier, we produced just around 3,000 in the quarter total. So as Ryan mentioned, we do expect an increase. We are permitting for – the permitting is fully underway for the start of a portal coming out of the side of the existing pit that will access the underground mineralization. The 426 and the Ruby Deeps zones are the primary target. So the refractory mineralization immediately below the pit with some oxide that we are seeing, and the Blackjack deposit is a poly-metallic zone that we will be looking to advance over the coming years as well. Slide 26 shows where the various mineralized zones are. In total, we have over 4 million ounces of indicated resources at Ruby Hill and over 3.6 million ounces inferred. We have over 103 million ounces of silver indicated and almost 74 million ounces inferred making this our largest deposit and one of the largest gold silver deposits in all of Nevada. Ruby Hill to us represents the ultimate optionality. We have refractory underground gold, oxide underground gold that is being advanced in the 426 Zone, oxide open pit mineralization. The mineral point deposit is actually our largest deposit in our portfolio, but is not part of our near-term development plans, primarily because of the capital. We have to manage our capital development over the next several years. Blackjack is a poly-metallic deposit immediately below the pit that we believe in the next several years, we will see the company transition from being just gold, silver, to a gold, silver and base metal producer. We have an operating heap leach facility and in the lower left image, you can see essentially a brand new CIL milling facility that we are – have just commissioned this study, looking at the restart of that facility and how it will fit into our future development plan. Slide 27 is a surface geological plan of the property. Again, we say option – ultimate optionality because not only is there multiple existing deposits, there are multiple existing targets that we are testing this year. The project is 100% owned by our company. We have ongoing residual leaching, which is the major component of our gold production for the first half of this year and in Q3 – expected in Q3 as well. We are further defining Carlin-type mineralization in both 426, the vertical component of Ruby Deeps and Ruby Deeps, which is the flat line larger deposit at depth. We’ve had substantial success extending Ruby Deeps along strike both to the north and to the south. And a lot of results are expected to be released in the coming months. We’re also advancing five conceptual exploration targets this year. Four of these are Carlin-type targets, which we call D2, the Blue Sky, Ruby North, and the Graveyard flat fault structure. Those four targets have all been tested and additional drilling is taking place in two of those. We’re also pursuing an additional poly-metallic target this year, which we call 427 probably some changes to these names as the year goes on. But that is another area that we’ve now tested and are completing additional drilling. The future evaluation of the large scale mineral point deposit is going to be completed. And ultimately, we will look to permit that project for our future growth. Slide 28 is a 3D image of our development plan. So the underground workings would come out of the side of the East Archimedes pit and almost immediately access the near vertical 426 Zone or zones. That area is being drilled from surface right now. And we are expecting to start releasing results from the 426 Zones in the coming weeks. The Ruby Deeps deposit is the larger flat line deposit that remains wide open for expansion along strike to the north and south. And we have been drilling that area. Some of the observations that we’ve seen on this property that have really heightened our excitement about it is that we are seeing broad zones of mineralization with excellent rock quality. So we’re expecting very good mine ability for a Carlin-type deposit. The ground conditions here appear to be quite excellent, which could lead to more bulk mining practices than you often see in these Carlin-type deposits. The grades and widths have met or exceeded our expectations. And we are expecting to do a new resource towards the end of the year on the underground deposits here at Ruby Hill. We’ve also seen extensive to moderate oxidation in the upper parts of the 426. And that’s why we’re starting to evaluate what do we do with our CIL plant here? Do we restart the CIL plant or do we convert it to a base metal mill or do we restart as a CIL mill and then convert it? So that work and engineering work and economic considerations are being completed internally by the company as we speak. On Slide 29, we have a very large scale drill program. The drill program for this year was expected to be 20,000 meters. However, we have expanded that program to what we expect will be at least 25,000 meters, and maybe as much as 30,000 meters, just because of the success we’re having. The Ruby Deeps deposit of the holes released to date IRH22-06 is the southernmost drill hole intersected two zones, an upper zone of 8.2 grams over 22.4 meters and a lower zone, the main zone 33.2 meters grading nearly 20 grams per ton, which on a grams per ton basis was the best hole we’ve drilled in company history. It remains wide open to the south and we are completing additional drilling or have and will continue to complete additional drilling in that Southern portion. The Northern intercepts were all between 7 and 11 grams per ton, and demonstrate the mineralization in the area that was previously drilled and that remains open to the north. So we have been stepping out to the north where it says open and beyond, and we will see results from those in the coming weeks and months. The 426 Zone is sort of what we interpret to be a Southeast play fault structure that eventually intercepts the Ruby Deeps structure. And that’s perhaps why we see mineralization both above and below the gold lacquer film in the Southern portion suggesting significant potential to add resource. The Graveyard fault target is sort of a parallel structure to 426 with very little historic drilling that we think could host high grade mineralization. We have tested that structure and are completing additional drilling as we speak into the Graveyard fault structure. And D2 is a single historic drill intercept that was drilled north of Blackjack that we have followed up to see if there is to confirm goal grades in that area. The 427 Target that’s not what we’ve named the zone, but the 427 Target was following out the single home stake hole that hit very high grade poly-metallic to the south of the pit and about 400 meters away from the Blackjack deposit. That target is being subject to additional drilling as well. Slide 30 is a long section view looking at some of the historic drilling and our drill holes. And as you can see in the yellow lines are holes that we have now drilled since our previous releases including hole 29 that is a further step out to the south and hole 13, which is a further step out to the north. Assuming both of those hit mineralization, the structure remains wide open both north and south. Multiple zones of alteration mineralization have been observed in the Southern portion, again, potentially reflective of that cross fault trending through the structure which allowed fluids to permeate above the gold lacquer film that is shown in gray in the current image. Slide 31, we acquired Ruby Hill, not just because of the gold, we in doing due diligence identified that immediately below the pit, which is not many of these intercepts are not in the full resource – in the resource yet. Because this area had some drilling done into it, but never really modeled up to what it might be as a deposit. We are going to work towards that in the future. But as you can see previous drilling by Homestake, that’s the H drilling and a couple holes by Barrick intersected numerous wide intercepts of poly-metallic mineralization up to almost 30% zinc and up to 3.2 grams gold. This deposit remains open for expansion. We expect to drill this off early on. We would drift over from underground to drill this deposit off from underground and move, hopefully into future reserves. And we’re also testing other poly-metallic deposits in the area and have invested in an adjacent property a company called Paycor because of their poly-metallic deposits. So we do envision transitioning to being a gold and base metal producer in the future. The next deposit we are advancing is McCoy-Cove. McCoy-Cove is a property that brings some pride to some of the people here in our office, because this was a deposit that was essentially discovered and delineated by Premier Gold Mines. We took it from being a model. We had a different geological interpretation for this project. We proved that that interpretation was right. It is now one of the highest grade undeveloped gold deposits in North America. We took it through permitting. We were successful in getting the permits to go underground, but delayed the advancement of the underground program, because we didn’t have a processing solution. With the acquisition of Lone Tree, we have now secured that processing option and constructed this project. So essentially we took this project from discovery to now development, and that’s a kudos to our team that started at Premier and continue – the team that continues here at i-80. The key achievements for the quarter at Cove is that we continue driving the decline with over 1,100 of advance completed by the end of the quarter. We’re now, well over 1,200 feet in advance in the quarter. We place the concrete portal sets that you can see in the current image and the supporting surface infrastructure has been fully constructed. Underground drilling is expected to commence in the fourth quarter of this year. And we’ve secured our water rights that will allow us to pursue full development of this project. On Slide 34, the initial plan is to put in the exploration decline, construct the exploration drift and complete approximately 40,000 meters of infill and some expansion drilling on this deposit with grades of almost 11 grams per ton. This is truly one of the highest grade, I’d say, in development projects in North America. We’ve secured the processing agreement that also includes access to a roaster, which the ore or the material at McCoy-Cove is amenable some to roaster some to auto claim. So we needed both options. So Nevada Gold Mines agreed for a period – a minimum period of 10 years to process the roaster portion of this material up to 750 tons per day that is allowing us to pursue the development of this project. So we retain that. We continue to incubate our relationship with Nevada Gold Mines. This deposit continues to remain open for expansion to the Southeast underneath the pit, and we will pursue the expansion of this deposit from underground drilling. Lastly, on Slide 35, our company does have a very sustained and real environmental sustainability plan. This involves both involving local communities and stakeholders ensuring we have a good relationship with those health and safety, energy, water and environment. Really water is a critical commodity in Nevada. And we are making sure that we’re doing everything to protect that. We look to make sure that we have a very positive economic impact in the local areas in which we work. We have diversity and inclusion, and we do foster education and workforce development, including we do support local schools with grant or grants and donations, et cetera. So as a summary on Slide 36, i-80 is one of the fastest growing gold producers in my view, in the junior market. We have an organic platform and a goal to become Nevada’s second largest producer with continued sustainable development opportunities. We are executing on our strategy currently with a strong balance sheet that is allowing us to pursue the growth of these projects. And this will ultimately lead to cash flow. And as we look towards our capital allocation, we are always cognizant of share dilution. So with that, I will ask if there are any questions to be asked and Ryan, myself and Matt will work towards answering those as best as possible for you. Thank you very much for attending.
Operator: Thank you. [Operator Instructions] At this time there are no questions. I’ll turn the conference back over to you.
Ewan Downie: Okay. We have a couple of online questions that we are going to answer. The number seven or one of the questions is at McCoy-Cove we’ve completed about 1,200 of the decline. What is the total length? The total length is expected to be approximately 5,200 feet of development. So we're almost a quarter of the way completed of the full development. We don't expect to have the entire initial development completed until sort of midyear Q3 of next year. Another question is on the Ruby Hill resource, how much a Blackjack and 426 will be coming in. 426 is definitely going to be a large component of the updated resource. And it is something we are actively drilling because we can't drill Blackjack. We're not sure exactly how much is going to be able to come into that. Given it was drilled – some of the drilling there was up to 25 years ago. Some of the QA and QC procedures that are required for 43-101 have not been completed. So we have to look at how we deal with that and our limited ability to twin holes. But 426 is definitely being drilled in the next week or two. You should see some of the results coming out of that. And we're very impressed with the drilling that's coming out of that. The targeted spend on the refurbishment of Lone Tree, we've been guiding that the program is expected to be somewhere around 150 million to 200 million pre-contingency. So we will add contingency. So that, those are the numbers that we've provided to investors in the past, we're still expecting that number to be generally in line. As I said, we will add a contingency and we have made a few, there have been a few components that we've decided to change now that it is not being used instead of shutting down in the next few years after restart. So but we are expecting the numbers to be fairly closer in line to what our previous guidance. Just reading through one or two more questions, and then I'll open up the floor again. One question is when do we expect processing from Nevada Gold Mines? I believe that they will start blending, the blending bulk sample program in the late Q3 of this year. And we will get our gold from that and assuming all goes well, we will start delivering our ore on a daily basis, call a production decision. And with that, we would then start to see cash flow coming in Q4. But the early parts of that program need to be completed first before we go to full development. Other than that, we're not going to give any real production on the Granite Creek guidance, because we are completing the first phase of that program. With that I'll open up the floor again and see if there are any calls. I understand there may be one.
Operator: [Operator Instructions] At this time, there are no – I'm sorry. Go ahead.
Ewan Downie: I was going to say, thanks. That doesn't sound like there's any phone questions. We are very accessible. We pride ourselves in being a very accessible company, so please feel free to reach out to Ryan, myself, Matt Gili, or Matt Gollat with any further questions, or just call into the corporate offices. Thank you everybody for attending. And we're looking forward to more excitement in Q3.
Operator: Thank you. And that does conclude today's conference. We do thank you for your participation. Have an excellent day.